Operator: Good day, and welcome to the Sensata Technologies Second Quarter 2018 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mr. Joshua Young, Vice President, Investor Relations. Please go ahead.
Joshua Young: Thank you very much, Laura, and good morning, everybody. I'd like to welcome you to Sensata's second quarter 2018 earnings conference call. Joining me on today's call are Martha Sullivan, Sensata's President and CEO; and Paul Vasington, Sensata's Chief Financial Officer. In addition to the earnings release we issued earlier today, we will be referencing a slide presentation during today's conference call. The PDF of this presentation can be downloaded from Sensata's Investor Relations website, and we’ll also post a replay of today's webcast shortly after the conclusion of today's call. Before we begin, I'd like to reference Sensata's safe harbor statement on Slide number 2. During the course of this conference call, we will make forward-looking statements regarding future events or the financial performance of the company that involve risks and uncertainties. The company's actual results may differ materially from the projections described in such statements. Factors that might cause such differences include, but are not limited to, those discussed in our Forms 10-Q and 10-K, as well as other subsequent filings with the SEC. On Slide number 3, we show Sensata's GAAP results for the second quarter, 2018. We encourage you to review our GAAP financial statements in addition to today's presentation. Most of the subsequent information we will discuss during today's call will be related to non-GAAP financial measures. Reconciliation of our GAAP to non-GAAP financial measures are included in our earnings release and in our webcast presentation. Additionally, the company provides details of its segment performance on Slides 10 and 11, which are the primary measures management uses to evaluate the business. Martha will begin today's call with an overall business summary. Paul will then cover our financials for the second quarter of 2018 and provide guidance for the third quarter, as well as update our full year 2018 guidance. We’ll then take your questions after our prepared remarks. Now I'd like to turn the call over to Sensata's President and CEO, Martha Sullivan.
Martha Sullivan: Thank you, Joshua, and thanks to everyone on the call for joining us this morning. Sensata’s continuing to deliver on the expectations we’ve set with investors. We had a strong second quarter building on our solid performance in Q1 to generate excellent operating results in the first half of 2018. We are accelerating our organic revenue growth, expanding our margins, generating mid-to-high teens EPS growth and delivering on our promise to bring more balance for our capital deployment program. For the second quarter, our reported revenues of 913.9 million and exceeded the high end of our guidance for organic revenue growth. We expanded our adjusted EBIT margins organically by 100 basis points year-over-year and delivered adjusted EPS of $0.93, which represents 15% organic growth over the second quarter of last year. On slide 4, I go in to more detail and list some of the key highlights of the second quarter. I want to remind investors that Sensata is a leading industrial technology company with secular growth opportunities across multiple end markets. You’ve heard in the past about how we have strategically increased our exposure to markets such as HVOR, industrial and aerospace that offer compelling content growth opportunities. Over the past five years, our revenue exposure to automotive has dropped approximately 10 percentage points. Our non-auto markets drove strong growth in 2017 and were the primary drivers of our 6.4% organic revenue growth in the second quarter this year. All of our businesses, including our auto business outgrew their underlying markets in the second quarter. This helped us to increase our organic revenue growth rate by 280 basis points compared to the prior year quarter. Next, we are continuing to generate robust adjusted EBIT margin expansion. We expanded our adjusted EBIT margins by 40 basis points in the second quarter of 2018. On an organic basis, adjusted EBIT margins expanded by 100 basis points. This was our sixth straight quarter of delivering EBIT margin expansion. On the bottom line, we continue to deliver double-digit EPS growth. We reported 15% growth and adjusted earnings per share as a result of higher volume, acquisition cost synergies and lower integration costs. At the end of May, we finished an intense 18 months process to re-domicile the company to the UK. With the re-domicile complete, we now have the ability to repurchase our shares. As a result, the Board put in place a $400 million stock repurchase authorization in early June. During the second quarter, we repurchased 1.1 million shares for a total consideration of $60 million. We anticipate using up to 400 million authorization within the next six months, at which point we expect to attain another repurchase authorization from our Board. Slide 5 shows organic revenue growth by end market in the second quarter, beginning with HVOR which generated 14.3% organic revenue growth in the quarter. HVOR serves a number of sub-markets including the on-road trucks, construction, agriculture, marine and recreational vehicle markets. All of these segments are posting strong secular growth which enables HVOR to outgrow its market organically by 660 basis points in the quarter. It is important to point out that the secular growth is sustainable and we have good visibility in to our future content growth due to the long cycled nature of our business model. Regardless of where we are in the market cycle, you can expect Sensata to consistently outperform underlying production. Additionally, I’d point out that the market for HVOR continues to strengthen. We now expect end market growth for HVOR to be between 7% to 8% for the full year which is above our previous guide. One of the exciting developments on the quarter was that we closed our first win for a new steer-by-wire application for HVOR. Steer-by-wire is a fundamental building block to enable autonomy in HVOR. This early win is proof of the value we can bring in autonomy for the HVOR market. Next, I want to turn to industrial, aerospace and other end markets which are surged by our sensing solution segment and represent approximately 25% of Sensata’s total revenues. For the second quarter of 2018, we generated 7.6% organic revenue growth, a very strong result for this business. We expanded our industrials business through the CST acquisition, and when we did that we strong growth potential in a number of industrial markets and you are now seeing this growth manifest itself in the higher growth profile of sensing solutions. One of the ways we are driving this growth is by leveraging cross-selling opportunities since many of our customers have the potential to buy both our control and sensor products. From a geographic perspective, our North American and Asian businesses were once again the strongest performers. In addition, we generated solid growth in our aerospace business as industry fundamentals of this long cycled business remained healthy and a number of new airplane models are launching. Going forward, sensing solution is poised to have another strong year. Finally, our automotive business outgrew its market and posted 3.9% organic revenue growth. To the first six months of the year, our auto business has outgrown the market by 330 basis points. China continues to be the primary driver of strength for auto as content per vehicle continues to rise rapidly, as a result of modernization and new legislation. North America also had a solid quarter of growth despite the fact that the market continued to decline. This was a result of growing content on cleaner, more efficient vehicles. Finally, we continue to secure new sensor content wins on gas engines in Europe, even as the diesel decline accelerates. On slide 6, I showed a slide that we first shared at our investor day. There are three key drivers of our growth between now and 2020. First, the constant need for cleaner and more efficient transportation and equipment; second, the growing mandate for electrified products in auto as well as other end markets; and third the modernization of auto and industrial equipment in China, as well as new regulation for cleaner and more efficient products. Since the beginning of 2018, we have made important progress in all of these areas ranging from new wins for next-generation gas powertrains to robust performance in China, where we have generated very strong double-digit organic revenue growth due to the first six months of this year. For electrification, I want to stress that while we are working on longer term innovations, we are also wining wins, we are also seeing wins and new revenue today. This applies to areas such as thermal management but also to applications such as regenerative breaking which I will discuss in further detail on slide 7. On slide 7, I’ve shown example of where Sensata is gaining content today on electric vehicles. Electrification is a net content tailwind for our automotive business and over the long term offers a tremendous opportunity for Sensata. One example of this is regenerative breaking, which is a requirement for nearly all electric and hybrid vehicles in order to improve efficiency and optimize the performance and range of the battery. It works by using electric motor breaking torque to slow the vehicle until standard friction breaking force is required. On average, regenerative braking systems will add at least one additional sensor with some customers adding as many as five sensors to the system. Additionally, installation rates for regenerative breaking are very low today. As volumes of hybrid and electric vehicles ramp, Sensata will experience nice content growth on these systems. I share this with you as a clear example of where our core sensor content is expanding on electrified vehicles and to stress that we are wining business and recognizing revenues from these applications today. I want to wrap up the presentation by reviewing our first half performance against the operational goal and long term guidance we laid out at our investor day. These are explicit metrics which investors can use to measure our progress. In the first half of 2018, we have demonstrated solid execution against each of these priorities. We are accelerating our growth delivering 6.4% organic revenue growth on a year-to-date basis, which is above the high end of our three year CAGR of 4% to 6%. We are increasing our margins, expanding our adjusted EBITDA margins by 110 basis points organically. We are delivering double-digit bottom line growth, posting 15.8% growth in adjusted EPS versus our long term guidance of 10% to 13%, and we have increased our flexibility from value-creating capital deployment by completing our re-domicile to the UK and putting in place a 400 million share repurchase program. We’ve already repurchased $60 million of stock in Q2 and we expect to use up the remaining authorization within the next six months. So as you can see, our entire management team is focused on attaining our goals and three year financial target and we are off to a great start, delivering on these promises to shareholders. I’d now like to turn the call over to Paul to review our second quarter results in more detail and to provide financial guidance for the third quarter and update guidance for the full year 2018. Paul?
Paul Vasington: Thank you Martha. Key highlights for the second quarter, as shows on the slide 9 includes, revenue of 913.9 million in the quarter, an increase of 8.8% in the second quarter of 2017. Of this growth changes in foreign currency, increased revenue by 2.4%. The net result was 6.4% organic revenue growth in the quarter. Adjusted EBIT was 210.4 million in the quarter and grew 11% compared to the second quarter of 2017 or 11.1% on an organic basis. Adjusted EBIT margins were 23% of revenue in the quarter and increased 40 basis points compared to the second quarter of 2017 or a 100 basis points on an organic basis. Adjusted net income was a 160.8 million in the quarter and grew 15.7% compared to the second quarter of 2017 or 15.8% on an organic basis. Adjusted net income margins were 17.6% of revenue or an increase of 100 basis points compared to the second quarter of 2017 or a 140 basis points on an organic basis. Adjusted EPS was $0.93 in the second quarter of 2018, a $0.12 increase from the prior year quarter, primarily due to higher volume, productivity gains, acquisition cost synergies and lower integration spend. Changes is foreign currency had a negligible year-over-year effect on our performance in the quarter. That being said, the impact of foreign currency and adjusted EPS was $0.05 lower in the second quarter of 2018 than our previous guidance. And I’ll provide more details about this later in the presentation. Despite the lower than expected contribution from foreign currency, we exceeded the mid-point of our EPS guidance through stronger underlying operating performance. Now I’d like to comment on our two business segment and I’ll start with performing sensing on slide 10. Our performance sensing business reported revenues of 676.2 million for the second quarter of 2018, an increase of 8.7% compared to the second quarter of 2017 or 5.9% organic revenue growth for the same period. In heavy vehicle and off-road business which reported organic revenue growth of 14.3% in the second quarter of 2018 continue to have the strongest revenue growth in this segment as all of its markets remained very strong. Our automotive business reported organic revenue growth of (inaudible) and led by China which posted another quarter of strong double-digit organic revenue growth as our content for vehicles daily rises as expected in the region. Performance sensing profit was 187.4 million or 27.7% of revenue for the second quarter of 2018. Excluding the impact of foreign currency, performance sensing profit as a percentage of revenue was 27% down 20 basis points from the year ago quarter as a result of increasing R&D effort to execute new design wins and fund development activities to intersect emerging megatrends that are shaping our markets probably offset by acquisition cost synergies. As show on slide 11, sensing solutions reported revenues at 237.6 million in the second quarter of 2018, an increase of 9% compared to the second quarter of 2017 or 7.6% organic revenue growth for the same period, reflecting strong demand from our customers in China and North America as well as high single-digit organic growth from our aerospace business. Sensing solutions profit was 79.1 million in the second quarter of 2018, an increase of 12.8% in the same quarter last year. Excluding the impact of foreign currency, sensing solutions profit as a percentage of revenue was 32.7%, a 60 basis points increase year-over-year resulting from net productivity gains on higher volumes, acquisition cost synergies and lower integration spend. Corporate and other costs not included in segment operating income were 53.5 million in the second quarter of 2018, up approximately 1.7 million year-over-year due to unfavorable moves in foreign currency and high compensation costs. Excluding charges added back to our non-GAAP results, corporate and other costs were 46.7 million in the second quarter of 2018. Slide 12 shows inside the second quarter of 2018, non-GAAP results. Adjusted gross profit increased 10.1% year-over-year to 335.7 million. Adjusted gross profit margins were 36.7% up 40 basis points versus the same period in the prior year. A higher R&D spend in this quarter reflects increased design and development efforts to execute new design wins as well as fund development activities intersect emerging mega trends that are shaping our markets such as electrification, economy, and smart and connected. Restructuring and amortization expenses reflect lower year-over-year integration cost in the second quarter of 2018. Adjusted other loss net of 7.9 million is primarily comprised of foreign currency losses resulting from the devaluation of net monetary assets denominated in Chinese Renminbi. The adjusted tax rate was 6.2% in the second quarter of 2018, 30 basis points lower than the prior year quarter and for the full year we are maintaining our adjusted cash tax rate target of 7%. On both bottom line, adjusted net income margins improved by 100 basis points and adjusted EPS increased by 14.8% in the second quarter of 2018 as compared to the prior year quarter. Moving to slide 13, Sensata generated strong operating performance in the second quarter of 2018, which more than offset a $0.05 lower than expected EPS contribution from foreign currency as compared to the guidance we provide in April. This slide is meant to help investors understand how foreign currency impacted Sensata’s P&L and how our cash flow and balance sheet hedging affects our bottom line results. The table on slide 13 depicts the financial impact that changes in foreign currency has on our income statement in both the second quarter’s 2018 and on a year-to-date basis. As you can see, foreign currency increased our revenues considerably in the first six months of the year, but has very well impacted on our adjusted EPS adding only $0.02 of earnings. Included in this small EPS impact are the hedges we put in place to reduce near-term earnings volatility. In the line item, adjusted other net just below profit from operations on this slide, you can see the unfavorable impact changes in foreign currency has on our balance sheet net of hedges. The main contributor to the unfavorable second quarter result and adjusted [EBIT] net was a 5% depreciation of the Chinese Renminbi which is the highest level of depreciation the currency has seen over the past two years. This loss in Q2 was unusual. Also we are reducing our China cash that is denominate in Chinese Renminbi by about 50% to further reduce earnings volatily related to this currency. For the full year 2018, we expect foreign currency will have a $0.05 to $0.09 favorable impact on adjusted EPS. And looking forward to 2019, we expect foreign currency will provide about at $0.10 year-over-year favorable adjusted EPS benefit based on current rates and exposures. On slide 14, I show our financial guidance for the third quarter of 2018. Overall, we expect to report revenues between 851 million and 875 million, representing reported revenue growth of 4% to 7%. At the midpoint of our guidance, we expect that foreign currency will increase revenues year-over-year by approximately 2 million in the third quarter of 2018. Excluding the effect of foreign currency, we expect to report organic revenue growth of 5% to 7% in the third quarter of 2018. Our current fill rate is approximately 85% of the revenue guidance midpoint for the third quarter of 2018. We expect to report adjusted EBIT between 201 million and 207 million, which would represent organic growth of 6% to 7%. On the bottom line, we expect to report adjusted net income between 150 million and 156 million and adjusted EPS between $0.88 and $0.92, which will represent organic growth of 9% to 11%. Changes in foreign currency are expected to increase adjusted EPS by approximately $0.01 to $0.03. Now let me turn to our guidance for the full year of 2018 as shown on slide 15. Based on the strong results of the first six months of the year, we are increasing our guidance for organic revenues and adjusted EPS. We expect revenues to be in the range of 3.493 billion to 3.555 billion for the full year 2018, a 6% to 8% increase on a reported basis. We expect foreign currency to increase our revenues by 1% to 2%. Excluding foreign currency and the impact of our expected valves divestiture, we expect organic revenue growth of 5% to 7%, which is up considerably from our previous guidance of 3% to 5%. We expect adjusted EBIT between 821 million and 837 million, which would represent organic growth of 9% to 11%. On the bottom line, we expect adjusted net income between 618 million and 630 million and adjusted earnings per share between $3.63 to $3.73 for the full year of 2018, which would represent organic growth of 14% to 15%, compared to our previous guidance of 9% to 13%. Our adjusted EPS guidance for the remainder of the year includes the effect of divesting our valves business during the third quarter of 2018, increased investment in the business to support higher revenue growth, and the near term impact from recently inactive Section 232 China tariffs, which we expect to offset by the time we enter 2019. We expect to generate a free cash flow of between 522 million and 543 million in 2018, which assumes capital expenditures of approximately 150 million to 160 million. Our guidance assumes no M&A, and that we will complete our current 400 million share repurchase authorization within the next six months. I will conclude my remarks with Sensata’s investment summary on slide 16. Sensata is a leader in the opportunity-rich sensing market where we provide differentiated sensing solutions for mission-critical applications. When we combine these solutions with our low-cost global supply chain, we deliver industry-leading margins, strong free cash flow, and consistent double-digit adjusted earnings per share growth. As you’ve seen again this quarter, our revenue growth is accelerating and we are well positioned to benefit from growing industry mega trends. We consistently produce industry-leading margins that continue to expand due to our organizational discipline. Further, we are demonstrating a strong track record of producing double-digit organic adjusted EPS growth. With a strong balance sheet, attractive free cash flow generation and balanced value creating capital deployment including our recent 400 million share repurchase program, we are in an excellent position to provide attractive returns for our shareholders. This is an exciting time for Sensata and we believe we offer compelling investment opportunities for investors. Now I’d like to turn it back over to Joshua.
Joshua Young: Thank you, Laura. Please assemble the Q&A roster.
Operator: [Operator Instructions] And our first question will come from Christopher Glynn of Oppenheimer.
Christopher Glynn: Just looking at the ramp in R&D, I think as expected, may be a little more, but just wondering how that is kind of playing in to your confidence in to the 2019 organic continuity, the direct or indirect correlation there and how you see R&D trending over the next year plus?
Martha Sullivan: Yeah, Chris there is a correlation there that really underpins our three-year guide. If you look at what we’re seeing between now and 2020 and is evidenced of our confidence and what we’re going to deliver there. There are also elements of that that are focused beyond 2020 when we look at our overall opportunity and some really growthful trends around electrification, for example and smart and connected opportunities in our industrial landscape. So when we think about that, we think the index coming out of the year is appropriate, we’ll continue to take a look at that. Part of that investment can also impact just pulling in product launches, so that it again underpins our confidence and our overall organic growth guidance.
Christopher Glynn: And then on China EZ, I’m wondering how you’re thinking about prospects for that market to break ahead of forecast. I think there’s been some step up and emphasis on the infrastructure over there.
Martha Sullivan: We watch that very closely and so when we look at projections and everybody has their point of view on this, one of the sensitivities that are on our model is infrastructure. So what we see happening in China is really playing out along with the assumptions that we put in place, because many of the initiatives there were described by [MIDI] in their overall China 2025 initiatives. So playing out the way we called it.
Operator: The next question comes from Samik Chatterjee of JP Morgan.
Samik Chatterjee: The first I wanted to check on is, you mentioned in your remarks that you expect sensing solutions to have a strong year. But if you could talk about how the organic growth which is high single digit is now this year, how is that tracking relative to your expectations at the start of the year and which kind of pockets are, where are you seeing the strength and what’s sort of driving the confidence in maintaining that kind of high single digit growth in that business?
Martha Sullivan: You’ve seen us raise our overall revenue guidance for the year, and the performance in our industrial market is one of the key factors there. So our confidence remains quite high. When we look at what’s driving that, it really is lined up with the scenes that we’ve talked about are driving overall Sensata. So China, a very important element, what we see happening in China is the modernization of industrial equipment, the move to variable control for better efficiency. We’re playing strongly in those opportunities. The other thing that I would point out is electrification. So beyond auto where we all think about that, we’re actually seeing elements of things like power tools now move to be electrified in that place really nicely through our electrical protection portfolio that we have. And then thirdly, I’d point out, when we made the acquisition with CST that was a business that had nice technology, but wasn’t growing. And we’ve been able to bring more share of wallet to our industrial customers as a result of that acquisition and we now see that playing out in our growth rate. So those are some of the things that underpin our confidence.
Samik Chatterjee: Got it, and then on the HVOR market, you mentioned the first award for the steer-by-wire application. Can you give us a sense of what’s the typical time to market for such product after the award win and what kind of [contemporary] vehicle would that sort of result in?
Martha Sullivan: We really expect to be launching that within the two and a half year time horizons. So this one’s a little bit shorter cycle. This is a system level solution, so when you think about the ASP here is what you know we’re talking anywhere from $50 to $70 and in some cases over a $100 of content, obviously a smaller volume base when you look at the construction market, but it’s a meaningful part of our growth rate going forward.
Operator: Our next question comes from Shawn Harrison of Longbow Research.
Shawn Harrison: Wanted to delve in to the tariff situation on a couple of fronts, Paul you mentioned some cost headwinds associated with that, but if you could also talk about whether you need to move any of your production globally or that’s been considered or you’re seeing any demand destruction issues as well just from the broader tariff situation.
Martha Sullivan: Just as a reminder and thanks for the question, we have a really cost effective global, supply chain footprint. But given there were often sales [force], we have a lot of redundancies in that footprint. So for our key products, we make those in multiple locations. We’ve been really proactive on this 232 issues. So began working with customers long before it was implemented. To look at the flow of our products to those customers and that’s the reason why we’re really confident that this is behind us as we exit 2018.
Shawn Harrison: Is there a way to put kind of the cost you’re facing now kind of the basis points or dollars associated with (inaudible).
Martha Sullivan: Sure. We expect in 2018 for the second half of the year, but that’s a range between $6 million to $8 million. So that is bit of a headwind in 2018 and despite that you’ve seen where we’ve landed in our guide.
Shawn Harrison: As a brief follow-up, the valves divestiture, I’m assuming that’s now backed out of the guidance for the fourth quarter and if I’m correct it was 117 million of annual sales and about $0.10 of EPS. Is that right range to kind of size that business?
Paul Vasington: That’s correct. We have taken out the guide assuming a close in third quarter, so revenue and [profit] can be adjusted accordingly.
Operator: The next question comes from Amit Daryanani from RBC Capital Markets.
Amit Daryanani: First one, nice to see the data on the regenerative breaking part and EV from you guys. Could you just talk about on a broader basis though what is the content for vehicle in EV versus the traditional combustion engine, and is your market importantly any different in the market today versus what --?
Martha Sullivan: I think we can watch it at the end of that question, but I think I know what you’re getting at there. So the way we’ve looking at this, because EV market is still quite small and quite fragmented. But when we look where volume is building around key models, but think models that have more than 20,000 units of volume, we’re now at the point where that content is equivalent to our conventional content, and we see that growing as more of these systems get efficient. So to give you a sense of it that can range to a high of about $50 per vehicle and in that same range we have some that are more in the mid-20s. But if you look at the overall average, its’ right in line with our current content today on [ICE] engines.
Amit Daryanani: And Martha on the HVOR market, I think you’re raising the underlying unit expectation for 2018. Do you see unit growth sustaining in 2019 as well, because some of you’ve had class 8 truck, for example, it seems like ’18 rather it might be more like ’19. Just wondering from a unit basis do you see that growth sustaining in ’19 as well?
Martha Sullivan: From an end market point meaning independent of our secular growth in that segment, which as you know is quite strong. No we would not expect the end market to expand from ’18 to ’19. The next question is where is the peak in that overall cycle. I think one thing to keep in mind, probably most volatile piece of that is the class 8; I think that’s what you’re asking about. That’s only 15% of our revenues in HVOR. So that being said, it’s really the class 8, so we would not expect it to expand as we go from ’18 to ’19. In some of the other segments particularly those in Europe and elements of the off-road market, we do see some more end market expansion, although that’s not really what’s driving most of our growth.
Operator: [Operator Instructions] And our next question will come from Wamsi Mohan of Bank of America-Merrill Lynch.
Wamsi Mohan: When we look at the auto business, you had 5 to 6 points of delta versus end market growth in 1Q, but you only have a point ahead of end market growth in the second quarter. Just wondering what contributed to that change and how much in excess of end market growth do you expect for the full year?
Martha Sullivan: So what drives our growth in auto, given that we’re not expecting or not seeing much end market help at all from a production perspective, it is our content growth and that content comes in with new product launches which does not happen in a linear way throughout the year. So it’s not unusual for us to see stronger content growth, some of that (inaudible) quarter-to-quarter. Through the first half of the year, we’re operating now at about 4.2% overall organic. We expect a second half and auto is actually going to be stronger in terms of our content performance, just given what we know is launching in the second half of the year, and we expect to perform right in line with our overall organic cater guide for all of Sensata.
Wamsi Mohan: And as a follow-up, in performance sensing on an organic basis ex currency, margins declined slightly, I know Paul called out some investments that were an offset. Can you unpack that for us a little bit, how much benefit did you actually see in the underlying margins before those investments or if you size the incremental investments that you’re making for the new design opportunities that will be helpful?
Paul Vasington: I would say that higher investment from R&D was about a 60 basis points headwind. And the synergies that we’re generating negated that, and then it’s our normal productivity gain that we see in that business that we get on a consistent basis which can be lumpy though quarter-to-quarter.
Wamsi Mohan: And then if I could one last one, you actually managed to keep the full year midpoint of guidance unchanged despite both the headwinds from the divestiture of the valves business and the lower FX tailwinds, and offsetting this is your higher organic growth. So what has changed in the past 90 days that gives you this confidence of two point better organic growth, where is that incremental growth really coming from, it seems like it’s going to be mostly a Q4 phenomenon, and how much of that is really HVOR which you noted is clearly doing better?
Martha Sullivan: The nature of our business is, we’ve got good visibility in to the overall backlog, we know what’s launching and ramping in the second half of the year, we’ve sized the headwinds that you talked about, so we’re managing those quite well. And that really is what gives us the confidence to look ahead and provide the guide that we’ve provided.
Paul Vasington: And Wamsi we’ve got about 6% growth in Q3, so it is continued strength throughout the second half not just the fourth quarter.
Operator: The next question will come from Rich Kwas of Wells Fargo.
Rich Kwas: Martha on diesel, so I think 39% is the level for 2020. It seems like in Europe that’s coming in below, so you have some offsets. Can you just go in to some details as we think about ’19 and ’20 in terms of the organic revenue growth offsets against some of the diesel trends?
Martha Sullivan: It’s increasingly moving in a one-per-one way Rich. So the way to think about that is when the diesel comes down, what’s in fact filling that? In our content growth on what’s in fact filling that on gas engines is really growing and it actually grows more strongly in ’19 than ’18. So you’ve seen us to be able to offset that overall impact as we move through the year. We got really high confidence of that as we go forward, and are recognizing as you pointed out that that decline is happening more closely.
Rich Kwas: Okay, so its gas engine, and the contest there is comparable at this point diesel CPV?
Martha Sullivan: It’s very close. It’s very close and we outweigh as we go forward.
Rich Kwas: And then just a couple for Paul. 301 China – Section 301 is that incorporated in to this headwind for the balance of the year, as well --.
Paul Vasington: No, we are not impacted by that, the 301 doesn’t impact us, no.
Rich Kwas: And then just with the fill rate at 85, as you look at China right now, what you’re seeing, any changes in demand trends versus the first half of the year that would be noteworthy either way?
Paul Vasington: No, we’re not seeing that subside at all. So that’s developing as expected.
Operator: And the next question will come from Joe Giordano of Cowen.
Joe Giordano: First of all, are you guys still using 0% as your global production estimate for the full year for your customers?
Martha Sullivan: Are you asking about auto in particular?
Joe Giordano: Yes, auto in particular.
Martha Sullivan: Yes, we’re between zero and one for the full year.
Joe Giordano: Did you mention what the outgrowth was versus your adjusted production for your customers in this quarter, because I know we went from 560 to 330 on the six months?
Martha Sullivan: We actually put that in our press release. So it’s about just 110 basis points something on that line.
Joe Giordano: Have you heard anything like a shift in how your customers are talking? I know you guys are isolated from some of the tariff structures given your domicile, but with given some of the comments already from some of the European players are you hearing, has the conversation shifted a little bit towards more cautious production with some of the [WLTP] and some of the potential for the US tariffs, how are those discussion going to progress and how do you feel your customers are thinking right now?
Martha Sullivan: The WLTP is a pretty identifiable issue, from a longer term perspective that actually reinforces what’s happening in Europe around the need to comply to real driving ignition and that’s a positive percent since (inaudible) of our secular growth, when we look at the impacts inside of the quarter, that’s a test regimen that is in some cases slowing vehicle cycle to market. So we’ve seen a little bit of demand movement from third quarter to fourth quarter in terms of its impact on us, but it’s not a highly material development for Sensata.
Operator: The next question comes from Steven Fox of Cross Research.
Steven Fox: Martha, during your prepared remarks, I think you implied that you’re seeing a pickup in cross-selling between controls and sensors with CST integrated. Can you just sort of give us some color around how that’s actually occurring, what kind of product markets etcetera?
Martha Sullivan: This is part of the strategy that we put in place. So it’s letting us do things like increase our distribution channel which is quite small and bring more to that channel to market. In other cases, when we look at things like variable control that’s happening inside industrial motors and things like HVAC, we’re on both sides of that. So we’re now able to bring sensors that go in to the input for the overall control of this system and we’re sitting in the protection application for the motor itself, just to give some specifics of how that works. So those are one example, there are many more.
Steven Fox: And then just to be clear, Paul when we think about the operating leverage you’ve produced in the quarter, I guess a 100 basis points organic margin expansion. If you broke that down between volumes versus productivity etcetera, lower acquisition cost spending etcetera. Can you just sort of give us a sense for how that 100 basis points breaks out?
Paul Vasington: Sure. I would characterize it as continued improvement on our cost reduction issues between our manufacturing areas. We’ve also seen as the strategy has played out the expansion of businesses beyond our automotive business as that is driving a favorable mix in terms of the business. Then it’s the continues cost control around our SG&A, which would be the third component.
Steven Fox: And so those items obviously account for a majority of, I suppose, natural leverage from higher volumes is that fair to say?
Paul Vasington: Actually we do get some leverage on the national volumes, but that’s reflected in our gross margin expansion. Sorry to say that’s the third of the three things I mentioned.
Operator: And next we have a question from Brian Johnson from Barclays.
Brian Johnson: Have a couple of questions to just really around the product mix direction. Within HVOR you talked about the growth of multiple end markets, but could you give us a sense of kind of what kind of system that content is going to, how much is engines and how much are things like you implied by brakes, steering and other applications.
Martha Sullivan: The system piece of that is growing much more quickly, so we’re getting to the point where that’s getting close to overall parity. Having said that we’re also working on electrification opportunities in HVOR, although I think those are a little further out on time horizon and that has an impact on the powertrain size.
Brian Johnson: And second question between Swindon and Schrader you brought in wireless sensing capabilities, how much is that driving the content for either in any of the three – two different segments and what potentially you must been informed by all this, are you getting some traction in aerospace around wireless sensing.
Martha Sullivan: The wireless piece is really important, in China for auto and HVOR as were early days on TPMS, and then it was some longer term growth initiatives. We’re seeing some really exciting opportunity to bring a wireless hub to the commercial truck/trailer market, engage in doing that. And then finally that same capability allows us to engage with customers on dairy management system for both auto and industrial customer that were heavily engaged in there as well. So it’s an important skillset that came along with that acquisition. Less meaningful near-term and aero as you know that a very long cycle when we look at what those opportunities are. We do have engagements around tire pressure sensing in that space as well.
Operator: And the next question will come from Mark Delaney of Goldman Sachs.
Mark Delaney: Frist question is on buybacks, the company has been moving pretty quickly through its repurchase authorization. Martha, I think you said in your prepared remarks that you would expect after completing this one to go to the Board and then look for more. Has there been any evolution about how the company is thinking about the cadence of buybacks and is there something that would be sustained and are you thinking about balancing buybacks with M&A going forward.
Martha Sullivan: Yeah we do think that the buyback will be an ongoing component of our overall capital deployment and a meaningful ongoing deployment. So by meaningful it is certainly above 25% or above on an ongoing basis so we would expect that to range in terms of percentage of our free cash flow. We expect to be repurchasing stock as we move into 2019 as well. At the same time, what we do is very return base oriented, so our M&A pipeline continues to be active, but it continues to be much more bite sized in its orientation and focused outside of auto. That being said, we would expect to be doing both share buybacks and buy side M&A and we’ve got the capacity then to make sure that repurchases are a meaningful part of our ongoing deployment.
Mark Delaney: And then a follow-up was just a clarification on the new organic revenue guide for all of 2018, and I guess pretty upside the 7% organic calculation, can you just clarify how exactly the balance divestiture is being factored in to that, is it just stripped out of essentially 4Q in both this year and last year or is it stripped out of all of 2018 overall just to adjust to 2017?
Paul Vasington: It’s stripped out for the period that we don’t expect to own it.
Martha Sullivan: So it is not out of history. So our organic growth is offsetting the impact of divesting (inaudible).
Operator: The next question comes from Craig Hettenbach of Morgan Stanley.
Craig Hettenbach: Question on the industrial business, it’s looking like it’s been the strongest in over a year and I know you mentioned some CST portfolio improvement. Any commentary on just the cyclical backdrop and kind of how you’re using seeing from a visibility perspective as you go in to the second half for industrial?
Martha Sullivan: From an end market, it’s quite diversified and so we keep our eye on things like the PMI index around the world which is performing well. But it’s really important to emphasize that primarily what we’re seeing here is specular growth. And so we see demand for more industrial sensors for all the reasons we’ve talked about that are driving over on Sensata’s growth. So the need for more efficiency, more variable control, cleaner applications, we’re seeing some electrification now impact opportunities in the industrial space and that’s primarily what’s driving our business.
Craig Hettenbach: And on the point of electrification just for EVs as you look at that kind of emerging, can you talk about just your design activity and clearly it’s more today from a volume perspective and expected to ramp. So just what your visibility is in to that over the next couple of years in terms of how you see that market ramping up to volume?
Martha Sullivan: So the design cycle I would say is similar to what we’re used to seeing in the auto market. So the work that we’re doing today is in the three to four year time horizon. But I really hope that you touch the point that we’ve done work in the past and in systems that are now being utilized on first generation electric vehicles and that’s driving our growth. So the regenerative example is a good one that’s very low installation rate today and we expect that to drive another 15 million in revenue in our overall breaking sensor revenue, and that’s designed in. So I really is a range of opportunities, some of which we’re enjoying right now and will ramp as EVs ramp and added content that were focused on to bring new sensors to these challenges and that’s more in the three to four year time horizon.
Operator: [Operator Instructions] And our next question comes from Matt Sheerin of Stifel.
Matt Sheerin: Regarding your commentary on China auto demand which continues to be robust, how much of that is coming from the key TPMS upgrading cycle versus other electronic content issues, and as you look to next year looking against tough comps, do you continue to see that organic growth continue to be strong.
Martha Sullivan: TPMS is only one component of our growth in China. So the other element that we’ve talked about, for example, the drive for clean and efficient, we’re seeing a lot of content go in to vehicles that will allow them to meet national fixed standards in China for example to better efficiency and cleaner output. We’re seeing the need more convenience features, so automatic climate control is still not a highly installed application in China and that drives our business as well. So it’s quite broad based, we do expect to see continued growth as we move in to 2019 and expect that China will continue to lead our overall growth in auto.
Matt Sheerin: And just a quick one for Paul regarding the share count for the year, relative to your buyback program, is that factored in to the EPS for the euro, will that not be much of an impact until fiscal ’19?
Paul Vasington: The share repurchase is reflected in our EPS guide for the year, and we would expect to buy shares probably ratably over the next six months or so subject to market conditions.
Operator: The next question will come from Jim Suva of Citi.
Jim Suva: I just have one question, in the past sometimes there’s been inventory, they’ve been very lean or excess inventory that has then come back to either help or hurt some although in a different markets whether it be HVOR or auto or even HVAC or different climate control systems. Can you just talk broadly about the channel inventory system where you sit today and what you’re hearing about channel inventory is it in balance or there are areas of leanness, are there areas of buffer and how we should think about that?
Martha Sullivan: We’ve been technically keeping our eye on that Jim in China, where we’re seeing in a tad less disappointed as you point out. And when we look at those inventories today we‘re feeling pretty good. So, really in line with normalized rates for that overall supply chain.
Jim Suva: Okay. And is that regarding basically all your end products or end markets above the different segments or --?
Martha Sullivan: Yes, that’s right.
Operator: And our next question comes from William Stein of SunTrust.
William Stein: Just two and I’ll front load them. First hoping to get any update on the quantity investment and whether you’re seeing any traction and improved cost-downs would enable production runs there. And also if you could remind us of the benefits you’re getting from prior M&A, that is still flowing through the model and when you expect those to be fully realized?
Martha Sullivan: I think relative to quantity we’ve talked in the past about sustaining longer term opportunity for Sensata. That really being trained by the fact that there’s a lot that has to happen beyond just lighter to get to level four, level five autonomy, and so we keep our eye on that. In the meanwhile, the developments are progressing well; it’s really a combination of performance and then performance at cost. But I would emphasize the performance piece as it’s a challenging sensor to put in place for overall mass production, but we’re pleased with the overall development that we see. I’ll let Paul speak to where we sit on overall synergies with acquisition, most of that I think focused on cost. But recognize that we’re seeing really nice revenue that really coming from the combination of our acquired businesses and of course Sensata.
Paul Vasington: So the expectation for cost synergies in 2018 was about 12 million and we are tracking to deliver that. You will see a large percentage of that will happen in the second half as we clear through a lot of the buffer stock that we build and now we’re seeing the benefits of the lower cost production in the new site. And so I would refer you back to our investor day material because we are tracking to those commitment that we share at that time.
Operator: And that’s all the time we have for questions today. I would like to turn the conference back over to Joshua Young for any closing remarks.
Joshua Young: Thank you very much Laura. I’d like to thank everybody for joining us this morning. We appreciate your continued interest in Sensata and we look forward to speaking to you again in the near future. Thank you and good day.
Operator: The conference is now concluded. Thank you for attending today’s presentation, you may now disconnect.